Operator: Good day, and thank you for standing by. Welcome to the John B. Sanfilippo & Son, Inc.'s First Quarter Fiscal 2023 Operating Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker for today, Mr. Jeffrey Sanfilippo Chief Executive Officer. Please go ahead.
Jeffrey Sanfilippo: Thank you. Good morning, everyone, and welcome to our 2023 first quarter earnings conference call. Thank you for joining us. On the call with me today is Frank Pellegrino, our CFO; Jasper Sanfilippo, our COO; and Mike Valentine, our Group President. We may make some forward-looking statements today. These statements are based on our current expectations and they involve certain risks and uncertainties. The factors that could negatively impact results are explained in the various SEC filings that we have made, including Forms 10-K and 10-Q. We encourage you to refer to the filings to learn more about these risks and uncertainties that are inherent in our business. We decided to change the earnings call format to freshen up our presentation. I will start the discussion and highlight overall performance and strategies and then turn the call over to Frank, who will provide a financial update. Fiscal 2023 is off to a strong start, including record first quarter net sales and volume growth across multiple distribution channels and our consumer branded business. We continue to see strong demand for our products despite the current inflationary environment as sales volume in our customer channel grew by nearly 3%, excluding the loss of a private brand grocery customer. And our Fisher recipe nuts grew volume 20%. Sales volume within our foodservice business increased 15% as we continue to grow the channel with new distribution at existing customers and the continued easing of COVID-19 restrictions. Lastly, the prior year's first fiscal quarter was positively impacted by a onetime gain, which accounted for almost 50% of the comparable quarter decrease in diluted EPS. We are maintaining a focus on manufacturing efficiencies, optimizing our supply chain and aligning our costs with selling prices. And we continue to respond to the challenging and dynamic environment that we face today, including the effects of inflation as we approach the holiday season and throughout this fiscal year. On a positive note, we have recently experienced some relief as freight and commodity acquisition costs have begun to stabilize. I would like to thank all of our team members across the organization who have worked tirelessly through this challenging time to maintain our exceptional service levels and quality. Their efforts were instrumental in securing increased distribution for Fisher recipe nuts and new private brand business in the quarter. I'm optimistic our strategic investments and initiatives over the past year and our resolute team will continue to drive strong operating results, respond to any new challenges and create long-term stockholder value. I am proud of every person in our company, whose leadership and commitment to our customers and consumers is unwavering. As we enter this year's harvest season, we anticipate more stable acquisition costs compared to last year for most tree nuts, including almonds, walnuts, cashews and pecans. The peanut market, however, is up significantly over last year. Main reason is that peanut farmers needed to pay higher prices to plant their fields to compete with cotton and soy. In the dry fruit segment, raisins and cranberries are anticipated to be up slightly starting in January due to inflationary factors for freight, sunflower oil, labor and energy. There are still some constraints within the global supply chain which represent challenges, but I'm confident our management team and dedicated employees will respond to these challenges and deliver exceptional performance for our customers and consumers, just as we did last year. Our extraordinary quality, consistent supply and service levels this past year were recognized by our top customers. And as a result, we are collaborating with them to develop new product lines and potentially enter new categories to service their needs and grow their business. In the current first quarter, we continue to invest in our people, production capabilities and brands to lay the foundation for future growth. In fiscal '22, the management team completed our long-range growth plans, and we have prioritized the strategies, investments and resources necessary to execute our journey to become a $2 billion business. Our long-range plan focuses on growing our nonbranded business across key customers, transforming Fisher, Orchard Valley Harvest and Squirrel Brand into leading brands while increasing distribution and diversifying our portfolio into high-growth snacking segments. Key priorities for growth include expanding sales through product innovation and targeted opportunistic acquisitions. We plan to execute our long-range plan by providing our nonbranded customers with value-added solution based on our extensive industry and consumer expertise. We will grow our branded business by reaching new consumers via product expansion and packaging innovation, expanding distribution across current and alternative channels, diversifying our product offerings and focusing on new ways for consumers to buy our products. There are 3 enablers we are investing in as well to achieve our growth plan. The first enabler is insights, innovation and marketing to sell customers and convert new consumers. Our investment in consumer data is a great example to help fuel our growth and embed insights across our organization. We are monitoring extraordinary shifts in consumption, and the investments we are making will establish a stronger foundation to identify opportunities faster, develop more relevant, innovative products, build stronger brands and expand consumption, particularly with Gen Z and millennial generations. Enabler 2 is e-commerce. E-commerce will be one of the biggest disruptors in our long-range plan. We have redirected our promotional and advertising activity with respect to our brands to focus on more digital and e-commerce platforms to match consumer behavior. We believe there are enormous opportunities to connect our brands to consumers' desires for more functional snacking, baking and cooking products. In addition, we are working with our key private brand partners to help build their business in e-commerce. Enabler 3 is ESG: environmental, social and governance. We believe in being a better steward for the environment with our sustainability efforts. We believe in doing more social good for the communities where we are engaged. And we believe in creating a more diverse and inclusive workforce in our organization. All these elements guide our decisions and make us a stronger and more successful company. I'll now turn the call over to Frank, our CFO, to provide additional information on our financial performance for our first fiscal quarter.
Frank Pellegrino: Thank you, Jeffrey. Starting with the income statement, net sales for the first quarter of fiscal 2023 increased 11.6% to $252.6 million compared to net sales of $226.3 million for the first quarter of fiscal 2022. The increase in net sales was mainly attributable to a 9.6% increase in the weighted average sales price per pound and a 1.8% increase in sales volume, which is defined as pounds sold to customers. The increase in weighted average selling price mainly resulted from higher commodity acquisition costs for all major tree nuts and peanuts. Sales volume decreased 0.6% in the consumer distribution channel, mainly due to a 0.7% decrease in sales volume for private brand sales. The decrease in sales volume for private brand products primarily came from lost distribution at a private brand grocery customer that occurred in the fourth quarter of fiscal 2022 and was substantially offset by increased distribution and a new product offering at a mass merchandising retailer. The overall decrease in sales volume for the consumer distribution channel was also partially offset by an 8.2% sales volume increase for our branded products, which include Fisher recipe nuts, Fisher snack nuts, Orchard Valley Harvest and Southern Style Nuts. Sales volume increased 2.4% in the commercial ingredients channel due to a 15% increase in sales volume to foodservice customers related to new distribution of existing customers and the overall continued recovery in the restaurant industry and the impacts of COVID-19 restrictions. Sales volume increased 19.3% in the contract packaging distribution channel primarily due to the timing of promotional activity by a major customer and business for a new customer. Gross profit decreased $1.2 million or 2.2% to $50.6 million. And gross profit margin as a percentage of net sales decreased to 20% for the first quarter of fiscal 2023 from 22.9% for the first quarter of fiscal 2022. The decrease in gross profit margin was attributable primarily to higher commodity acquisition costs for all major tree nuts and peanuts as well as other inflationary cost increases, including labor and manufacturing supplies. The decrease in gross profit dollars was also due to these reasons and substantially offset by an increase in the weighted average selling price per pound and increased sales volume. Total operating expenses for the current first quarter increased $3.8 million in the quarterly comparison due to a nonrecurring gain of approximately $2.3 million from the sale of the Garysburg, North Carolina facility, which occurred in the first quarter of fiscal 2022. An increase in base and incentive compensation was partially offset by lower freight expense, also contributing to the overall increase. Total operating expenses for the first -- for the current first quarter increased to 11.2% of net sales from 10.8% for last year's first quarter due to the reasons I noted above, which was primarily offset by a higher net sales base. Interest expense for the current first quarter increased to $700,000 from $400,000 for the first quarter of fiscal 2022 primarily due to higher weighted average interest rates combined with higher average short-term debt levels. Net income for the first quarter of fiscal 2023 was $15.5 million or $1.34 per diluted share compared to $19.2 million or $1.66 per diluted share for the first quarter of fiscal 2022. The nonrecurring gain related to the sale of the North Carolina facility in the prior quarter contributed $0.15 per diluted share in the prior quarter. Now looking at inventory. Total value of inventories on hand at the end of the current first quarter increased $39.5 million or 25.9% compared to total inventory value at the end of the first quarter of fiscal 2022. The increase in the value of total inventories was primarily due to higher quantities of finished goods, work-in-process and inshell pecans as well as increased acquisition costs for pecans. The weighted average cost per pound of raw nut and dried fruit input stocks on hand at the end of the current quarter increased 20.6% compared to weighted average cost per pound at the end of the first quarter of fiscal 2022 and also was mainly due to higher acquisition costs for pecans. Please refer to our 10-Q, which will be filed tomorrow for additional details regarding our financial performance for the first quarter of fiscal 2023. Before I turn the call back over to Jeffrey Sanfilippo, please note that we will be presenting at the Southwest IDEAS Conference in Dallas on November 17. Our presentation is scheduled to begin at 2:15 p.m. on Central Standard Time. Now I will turn the call over to Jeffrey to discuss category trends.
Jeffrey Sanfilippo: Great. Thanks, Frank. So I'd like to share some of the category and brand results with you for the quarter. As always, the market information I'll be referring to is IRi reported data, and for today, it is for the period ending October 2, 2022. When I refer to Q1, I'm referring to 13 weeks of the quarter ending October 2, 2022. References to changes in volume or price are versus the corresponding period 1 year ago. We look at the category on IRi's total U.S. definition, which includes food, drug, mass, Walmart, military and other outlets. Unless otherwise specified and when we discuss pricing, we are referring to average price per pound. Breakouts of the recipe, snack and produce nut segments are based on our custom definitions developed in conjunction with IRi. And the term velocity refers to the sales per point of distribution. The total nut and trail mix category was down 1% in dollars and 4% in pound volume in Q1. This is the same rate we saw last quarter. All subcategories declined in pound volume in Q1, while trail mix and recipe nuts were the only subcategories to grow dollars. Overall, prices across the category were up in Q1 versus the prior year 3.5%, with almost all nut types increasing. Now I will cover each segment in more depth, starting with recipe nuts. The recipe nut segment was up 1% in dollar sales and down 6% in pound sales. This is a slightly better performance than we saw in Q4. As a reminder, the recipe segment has seen significant growth through the pandemic, driven by more consumers cooking and baking at home. Prices of recipe nuts were up 7.6% versus last year. Our Fisher brand grew 1% in dollars and declined 8% in pounds. Fisher's performance resulted in a flat dollar share versus last year, and Fisher remains the branded leader. Fisher's performance was driven by slowing velocity in the grocery channel, offset by distribution increases in mass. Velocity declines were mainly driven by higher pricing and lapping at-home cooking and baking at home. Now let me turn to the snack nut segment. In Q1, the snack nut segment declined 3% in dollar sales and 6% in pound sales. This is consistent with the decline we saw in Q4. Most nut types except peanuts, macadamias and pecans increased in price. Peanuts, the lowest-priced nut type, continued to see the greatest absolute pound and dollar gains in the category. Fisher snack continues to grow faster than the category and gross share, increasing 3% in dollars while declining 5% in pounds. The Oven Roasted Never Fried line continued to drive this growth, up 4.2% in dollars and up 5.4% in pounds, driven by strong distribution gains. We continue to see strong results in the Oven Roasted Never Fried lines across our large sizes as consumers continue to look for better-for-you snacks at a good value. And we are committed to further building distribution and drive velocities against this line. The trail and snack mix segment was up 3% in dollars in Q1 and down 5% in pounds. Prices of trail mix were up 8.3%, slightly greater than the last quarter. Our Southern Style Nut brand continues to be softer than the category, declining 2% in dollars and 8% in pounds due to velocity slowdown in our mass and grocery channels, given increasing competition from private brands. Private brands continue to drive the trail mix category growth, up 9% in dollars in Q1. Our last segment, produce nuts, declined 1% in dollar sales and was flat in pound volume in Q1. This is slightly better than the performance we saw in Q4. Our produce nut brand, Orchard Valley Harvest, declined 9% in dollars and 10% in pound sales, driven by distribution declines in mass, offsetting strong performance in the grocery channel. In closing, success requires smart strategies and the right business model for sustainable growth. It also requires a talented and committed team of associates. We have all those elements of success here at JBSS, and the record results over the past 4 years demonstrate the strength of our business. No doubt, we will face headwinds in the coming quarters with inflation, labor shortages, supply chain challenges and further shifts in consumer behavior. Despite these headwinds, I'm confident we have the people, the processes, the brands, the expertise and the financial strength in place to be agile and successfully navigate our company through these volatile times to grow our business. Our teams are working on exciting new product lines that we'll launch in the back half of fiscal '23 and beyond. The management team and all our dedicated employees have a steadfast commitment to develop business plans that create shareholder value and provide relevant, profitable, value-added products and services to our customers and consumers. We appreciate your participation in the call, and thank you for your interest in our company. Before I turn the call over for questions, I would like to personally thank Mike Valentine, who has been an amazing CFO, Group President, mentor, cousin and friend. He has been a key leader in the organization since 1987 and is a huge part of the success of the company. He has stood by my side along with Jasper and Frank through some tough times and some good times, and I appreciate his commitment to the company. Mike will continue as a Director on our Board, but this is his last earnings call and I want to wish him all the best in his retirement.
Michael Valentine: Thanks, Jeff.
Jeffrey Sanfilippo: We will now open the call to questions. Operator, please queue up the first question.
Operator: [Operator Instructions]
Jeffrey Sanfilippo: Someone should ask Mike a hard question.
Operator: [Operator Instructions] There are no questions at this time. I would now like to turn the conference back to Mr. Jeffrey Sanfilippo for closing remarks.
Jeffrey Sanfilippo: Thank you, Mikey. Again, thank you, everyone, for your interest in JBSS. This concludes the call for our first quarter of fiscal 2023 operating results. Have a great day.
Operator: Once again, this concludes today's conference call. Thank you all for participating. You may now disconnect.